Operator: Ladies and gentlemen, thank you for standing by, and welcome to SandRidge Energy Third Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]  I would now like to hand the conference over to Johna Robinson. Thank you. Please go ahead.
Johna Robinson: Thank you, and welcome, everyone. With me today are Paul McKinney, President and Chief Executive Officer; Mike Johnson, Chief Financial Officer; and John Suter, Chief Operating Officer. We would like to remind you that in conjunction with our earnings release and conference call, we have posted slides on our website under the Investor Relations tab that we will be referencing during the call. Keep in mind, today's call contains forward-looking statements and assumptions, which are subject to risk and uncertainty and actual results may differ materially from those projected in these forward-looking statements. We will also make reference to adjusted EBITDA, adjusted G&A and other non-GAAP financial measures. Reconciliations of these measures can be found on our website. Now, let me turn the call over to Paul.
Paul McKinney: Thank you, Johna, and good morning, everyone. Thank you for taking the time to join us today and for your interest in SandRidge. We plan to review with you today our third quarter results and to provide updates on our operations and guidance we'll be referencing in the investor presentation that Johna just told you about that we posted on our website earlier this morning. So, I encourage you to use it and follow along. Starting on Page 3, this is an overview of the company that includes a map that highlights the location of our operations and a few tables that summarize updated market and financial information and our company production reserves and asset statistics. Moving on to Page 4 is a summary we include in our corporate presentation to remind our investors of our business strategy and the key components we believe lead to both near-term and sustainable long-term success for our shareholders. We have discussed this strategy with you in the past, and it continues to guide us as we chart our way through the changing conditions of our industry. With respect to the third quarter, we were impacted by challenging hydrocarbon prices and historically high price differentials that, when combined, significantly impacted our results. We responded to these changes by continuing to reduce our cost structure, focused on the efficient execution of our work programs and began reducing our capital spending plans for the rest of the year. As we shared with you on our last call, we plan to complete six North Park Basin wells during the third quarter that were drilled earlier in the year. We are pleased with the – to report that the results from those wells have met or exceeded our expectations. We'll be sharing more about these well results with you later in the call. At this time, I want to turn this over to Mike Johnson to review the details of our third quarter financial results. Afterwards, John Suter will review our third quarter operational results, and I will return to finish up with a few closing comments.
Mike Johnson: Okay. Thank you, Paul. A number of factors clearly created headwinds for our third quarter results. In spite of these factors, we accomplished meaningful financial improvements that demonstrate commitment to financial discipline. We reduced G&A by 38%, compared to the second quarter. This reduction drove a lowering of the midpoint of full year adjusted G&A guidance. We also managed our capital spend for the quarter, which allowed us to lower the midpoint of capital expenditure guidance, while reaffirming production guidance. As expected, with the low level of our capital spending, we've continued to experience declines in production volumes. In this challenging and volatile commodity price environment, we saw quarter-over-quarter and year-over-year reductions to the prices received for oil, natural gas, and natural gas liquids production. We posted a net loss of $182 million in the current quarter, compared to net income of $12 million in the same quarter last year, due primarily to a ceiling test write-down. The noncash ceiling test impairment was $166 million and was driven primarily by lower commodity prices required for estimating our proved reserves. Adjusted EBITDA was $26 million in the current quarter, down from $48 million last year, which is a result of a 35% decrease in our commodity price realizations on a BOE basis and a 9% decline in production volumes. Comparing quarterly revenues on a year-over-year basis, oil, natural gas and natural gas liquid sales were down $20 million, $7 million, and $12 million, respectively, for a total of $39 million. We realized modest derivative gains in the current quarter and continue to have swaps on 20% of our expected oil production during the remainder of 2019 at a strike price just above $60 a barrel. To preserve liquidity, we have further reduced planned capital spending during the remainder of 2019. We expect to spend approximately $15 million in the fourth quarter, primarily on North Park infrastructure projects. We exited the third quarter with $62 million drawn on our revolver and $4 million in unrestricted cash. Based on current strip prices for oil and natural gas, we expect to exit 2019 with approximately $50 million drawn on our credit facility, an amount higher than anticipated at the beginning of the year, again, because of the significant decrease in commodity prices. We will be working with our bank group later this month to redetermine our borrowing base. And as we plan for 2020 capital spending with the possible exception of executing on accretive M&A opportunities, our focus will be on preserving liquidity by managing and targeting high-return capital projects. I'll now turn it to John for his thoughts on our third quarter operational results and his outlook for the remainder of the year.
John Suter: Thanks, Mike. Total company production for the quarter was 2.9 million barrels of oil equivalent, comprised of 29% oil, 22% NGLs, and 49% natural gas. Our lifting cost averaged $8.37 per BOE for the quarter and $7.76 per BOE year-to-date. The company brought six wells to sales, all in North Park Basin. CapEx for the quarter was $43 million, with $27 million in drilling and completion costs, almost exclusively from North Park completion activity. We will defer rig utilization until 2020 in order to conserve capital. We continue to do high return, short payout workover and artificial lift installations to optimize our production. Let's now look at the new North Park wells on Slide 6. As mentioned last quarter, we initiated drilling on a six-well pad on the north side of the field. Two Peterson Ridge unit, XRLs were drilled to reach the farthest limits north to date. From this same pad, we drilled four Patriot XRLs to the south. With the four Patriots, we are testing a third-generation 15-well per section pattern based on the results of our microseismic testing. We've finished drilling all six wells and released the rig as planned in early June. We initiated stimulation operations on all six of these XRLs, plus a refrac of a legacy SRL within the same section in mid-June. We finished completion and stimulation operations in late August, while initiating production in early September. Now turning to Slide 7, where we focus on the results of the four Patriot wells. They were spaced utilizing two rows of wells within wine rack lateral placement. Recall that we designed this spacing test, applying information from microseismic and frac modeling based on the earlier Peters Well spacing test project. This earlier work indicated that our frac design delivers a prop type of more than half the vertical section of the Niobrara, with effective prop half lengths of an estimated 500 to 800 feet. In light of these results, we implemented three new well configuration changes for the Patriot Test project. One, two rows of wells were used to effectively stimulate the entire 400-to-500-foot thick Niobrara interval. Two, wells were located in rows, with an offset wine rack pattern so that no laterals are vertically stacked on top of each other to avoid unnecessary fracture interference. And three, wells were spaced at eight wells per row per section, which we believe is adequate to effectively drain the upper and lower intervals. The cross-section diagram at the bottom right of this slide illustrates the well configuration. In regards to production results, you can see from the well test table and the cumulative well production graph that these wells have performed as planned. These wells delivered the anticipated production targets, which helps verify successful improvements of this third-generation spacing test. We have not seen any signs of pressure communication between the wells, which further encourages us. Controlled flowback methods employed on these wells have been successful with better than type curve rates. Notably, these wells still have 1,000 psi flowing pressure on average after 50-plus days online. For the first time in North Park, we reduced total well cost below $6 million per well on two of the six wells, which improves the economics for future development planning. Turning to Slide 8. As I mentioned earlier, we completed a refrac of a legacy horizontal Niobrara well, the Grizzly 3-32H, just offsetting the Patriot wells in conjunction with this project. You can see the proximity of these wells to each other in the map on the top right of the slide. We chose this operation for several purposes. The primary purpose was to re-pressurize the reservoir in the vicinity of the new Patriot laterals that were about to be stimulated to improve the fracture efficiency and not lose energy to a reduced pressure area. We feel this was accomplished not only by the resulting production, but also by the treating pressures and other stimulation technical data. Additionally, we thought the re-frac would be a successful project on its own production improvement merits. The wellbore also had approximately 1,000 feet of unperforated lateral. We perforated this section and added it to the newly refraced interval. The graph on the bottom right shows the tenfold improvement in the Grizzly wells' forecasted production after the first 50 days post refrac. Based on this success, we're analyzing additional refrac candidates that we anticipate scheduling next year. Moving to Slide 9. Our North Park net daily oil production plot shows that in 2019 we've delivered a record Q2 production level and the best first three quarters of any year since we purchased the property. The third quarter was lower than Q2 since no new wells were brought online until early to mid-September, at the end of the quarter. Additionally, downtime associated with changing out some artificial lift equipment impacted third quarter production.  We continue to work on artificial lift optimization and efficiency improvements. These combined items lowered our Q3 and Q4 projections that were anticipated on last quarter's presentation. Regardless, the fourth quarter will realize the full benefit of all six of these new wells, which should improve from Q3. This will end the year with record full-year 2019 oil production from North Park. In closing, I'm pleased with our continued northern delineation work in North Park and the associated well results. Our team remains vigilant on cost reduction and production optimization in this period of lower capital deployment. Once again, I would like to thank the SandRidge team for a standout safety record, signified by our 15th consecutive month without a recordable incident from company personnel. I'll now hand it back to Paul for some closing remarks.
Paul McKinney: Thank you, John. And we are proud of the operational results achieved this quarter and of our safety record of no recordable incidents so far this year. Speaking to our SandRidge team, thank you very much for these results and for your continued hard work and commendable safety record. As mentioned in our last call, we continue to evaluate several opportunities in the market, including distressed asset acquisition and merger opportunities as part of our capital allocation process. We look for and evaluate investment opportunities as a normal course of business to identify those that can generate the highest returns for our shareholders. This includes not only mergers and acquisitions, but also internal drilling opportunities, workovers, asset sales, buybacks, and dividends. In light of our current valuation, we will regularly assess the value of our share repurchase program against any opportunity we observe in the marketplace. At the same time, we must also consider the long-term impact of such a program on our liquidity in light of our declining production base. We will continue to evaluate these and other strategies with our primary goal being to maximize value for our shareholders. At this point, I'd like to express my sincere appreciation to all of you joining us on this call today and close by saying that although SandRidge experienced a challenging third quarter, we remain focused on financial discipline, responding appropriately to the changing conditions of our industry and investing in opportunities that create the most value for our shareholders. I will now turn the call over to our moderator and open it up for questions.
Operator:
Paul McKinney: Thank you, everyone, for participating in this call and for your support of SandRidge. This is the end of our conference call, and thanks again.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.